Operator: Good day, ladies and gentlemen, and welcome to the Colfax Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today's conference Mr. Kevin Johnson. Sir, please go ahead.
Kevin Johnson: Thank you, Michelle. Good morning, everyone, and thank you for joining us. My name is Kevin Johnson and I am Vice President of Finance at Colfax. With me on the call today are Matt Trerotola, President and CEO; and Chris Hix, Senior Vice President and CFO. Our earnings release was issued this morning and is available in the Investors section of our website, colfaxcorp.com. We will also be using a slide presentation to walk you through today's call which can also be found on our website. Both the audio of this call and the slide presentation will be archived on the website later today and will be available until the next quarterly call. During this call, we'll be making some forward-looking statements about our beliefs and estimates regarding future events and results. These forward-looking statements are subject to risks and uncertainties, including those set forth in our SEC filings. Actual results might differ materially from any forward-looking statements that we might make today. The forward-looking statements speak only as of today, and we do not assume any obligation or intent to update them except as required by law. With respect to any non-GAAP financial measures made during the call today, the accompanying reconciliation information relating to those measures can be found in our earnings press release and today's slide presentation. Now I'd like to turn it over to Matt, who will start on Slide 3.
Matthew Trerotola: Thanks, Kevin. Good morning and thank you for joining us today. We are pleased to report our second quarter operating results. We made strong progress in the quarter and our building momentum for an even stronger second half. Our ESAB business continues to deliver strong growth and proactively offset the cost headwinds from global steel prices and U.S. tariffs. Howden delivered another quarter of strong industrial growth and year-to-date industrial orders now represent more than half of the businesses orders. The business also showed solid sequential improvement and margins that position it for a return to more normal margin levels in the second half of 2018. We had a very active quarter driving smart capital deployment. We signed an acquisition for a great ESAB bolt-on, took the opportunity to buyback Colfax shares at low relative price levels, and sold our CIRCOR share position to complete the successful divestiture of fluid handling. On Slide 4, you can see had a strong growth trajectory. We continue to show double-digit overall growth and high single-digit core growth. While our healthy markets around the world are positive factor, we are also increasing product at vitality and strengthening our automation backlog and funnel. These should help us to drive share gain over time in this business. We drove sequential and year-over-year margin improvement in ESAB. As we continue to see one after another source of cost escalation, I am really impressed with our teams performance on this critical challenge and believe we are building CBS pricing and productivity muscle that will help us as we drive to mid-teens segment margins in the coming years. Our Air & Gas Handling segment shown on Slide 5 had solid progress in the quarter. While core order growth was still negative we had a healthy step up from Q1 and another quarter a very strong industrial growth. Oil and gas order intake stepped out as well, but reported orders include a cancellation due to recently implemented restriction by the U.S. government related to Iran. We do not expect any further impact from these sanctions. We expect the Howden business to turn over to positive order growth in Q3 as industrial growth continues, the strong funnels in mining and oil and gas begin to convert and power remain stabilized in the expected range. Our Howden margins improved in Q2 and we see a clear path to continued sequential improvements in Q3 and Q4. Well part of this will come from clearing low margin projects from our backlog, we have also driven CBS improvements to project margins and we will have a growing contribution from restructuring. As communicated on earlier calls, our teams have identified additional restructuring projects that will start later this year. These include strategic changes that generate additional benefits for 2019 and 2020 and further secure a sustainable Howden path to mid-teens operating margins despite the revenue headwinds. On Slide 6, we introduced GCE. This is a great bolt-on to our ESAB business. It's about $100 million of revenue that is split between a leading European position in industrial gas control and attractive business in specialty gas control serving markets like medical and life science scientific. We see healthy cost and revenue synergy opportunities, runway for growth in specialty gas and more great talent added to our company. Clearly, our acquisition engine is working well and we continue to have a healthy pipeline of other potential bolt-on and platform acquisitions. Chris will share later our ample capital deployed on great acquisitions to make our company stronger. On Slide 7, you can see from 2013 to today the significant progress we made in diversifying these businesses into higher growth less cyclical end markets. The Howden business looks very different today than five years ago with about half of the business now in industrial markets with less cyclical diversified growth potential. GCE along with other recent acquisitions further strengthens and diversifies our ESAB business. We are investing in technology to broaden and deepen our relationships with customers. Recent acquisitions like TBi, HKS and Ventsim complement our organic efforts and accelerate our progress. And our businesses continue to pivot resources and infrastructure to those regions and applications that have the best growth potential. In summary, we continue to strengthen and diversify our company for long-term profitable growth. Both businesses made good progress on margins and growth in Q2 and we continue to drive healthy acquisition growth. We have an improved outlook for 2018 to deliver well over 20% earnings growth. And now, I will turn it over to Chris to discuss the financial results.
Christopher Hix: Thanks, Matt. I'll start my comments on Slide 8. Total company sales grew 9% in the second quarter to $925 million, including an 8% contribution from acquisitions and a 2% FX benefit. We actually expected more year-over-year currency benefit, but pressures emerge throughout the quarter that our businesses overcame to deliver the expected operating results. Gross profit grew $29 billion in the quarter and gross margins improved 70 basis points from acquisitions and restructuring benefits. Operating profit increased $2 million or $7 billion excluding amortization from acquisitions. As expected, year-over-year operating margins were lower than the prior year, but improved 90 basis points sequentially from our first quarter. We expect additional sequential improvements in the second half from higher margin orders, restructuring, and seasonally strong fourth quarter volumes. Tax contributed to this quarter's results as we converted some of the opportunities that the Fluid Handling divestiture created. The actions we took generated a one-time benefit that helped drive the tax rate down to 15% in Q2 and these actions will also contribute to our future tax rates. Adjusted EPS grew 36% to $0.61. In summary, our businesses overcame FX pressure to deliver expected operating profit and sequentially higher margins and tax changes benefited the quarter and future rates. Slide 9 includes the second quarter results of our Fabrication Technology business. Segment sales of $561 billion were up 8% organically in the quarter. The business achieved growth across the globe in an every product line. Acquisitions delivered six points to our topline growth and are performing in line with expectations. Adjusted operating profit grew to $71 billion in the quarter and margins increased 40 basis points year-over-year to 12.7%. The business is successfully addressing inflationary pressures through a combination of price and productivity improvements. Looking ahead, we expect the usual seasonal sales dip in the third quarter. Our teams will continue to address dynamic tariffs and inflation in the back half of the year, while driving greater productivity across the business. ESAB has positioned for a strong year-over-year improvement in margins in the fourth quarter, creating a healthy jumping off point for next year. The Air & Gas Handling segment as shown on Slide 10 was up 3% in sales quarter-over-quarter, including contributions from the acquisitions. The business had a small FX tailwind, but organically sales were down as expected. Sales in the industrial sector were up 34%. Oil and gas was relatively flat and power was down 44% following that Chinese investments step down in last year's third quarter. As Matt covered earlier, since the step down power sector order levels have remained in the expected range. Lower organic sales resulted in operating profit being down $8 million compared with the prior year. From our first quarter, margin sequentially improved 60 basis points were 260 basis points if you exclude the first quarter facilities sale gain. We are seeing the expected benefit of lower margin projects exiting backlog and restructuring benefits are increasing. We expect improved performance in the second half of 2018 with the seasonally strong fourth quarter for both sales and margins. Slide 11 shows we remain disciplined and agile in capital deployment with a focus on growth and shareholder value creation. We recently repurchased $6.4 million of our shares for $200 million of investment mostly during the second quarter, enabling us to take advantage of recent prices. We also supported our primary objective for capital deployment, which is our strategic growth program, including the GCE acquisition. Our Board authorized an additional $100 million for repurchases that remains open and available, creating additional flexibility for long-term value creation. During the quarter, we monetized our CIRCOR shares, completing the divestiture of the Fluid Handling business at an attractive multiple. We finished the quarter with significant global cash balances, gross leverage of 2.5 times and access to our $1.3 billion revolver. We have ample liquidity to pursue attractive platform acquisitions where we can apply our model for compounding value creation. On Slide 12, we discuss our outlook for the balance of the year. We started the year with an expectation of significant earnings growth, and I'm pleased to say that our view is strengthened and we are again increasing our guidance from $2.05-to-$2.20 to $2.15-to-$2.30. This represents year-over-year growth of at least 24%. In addition to discrete tax benefits in the first half of the year, our operating performance is playing out as expected. Our FabTech business is benefiting from healthy market conditions and battling inflationary pressures with pricing actions. Full-year organic growth in this business is expected to be 5% to 8% including price to offset inflation. Our Air & Gas Handling business is improving the profitability of orders, creating a better cost structure and building order funnels that support a strong second half finish with seasonally highest profits in the fourth quarter of the year. Our outlook includes restructuring savings that have expanded to more than $30 million, interest expense of $40 million to $45 million, 6.4 million shares repurchased and a 20% to 22% tax rate for the full-year that implies about 24% for the second half. We have not included the GCE acquisition in our guidance. That concludes our prepared remarks. Michelle, please open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Your line is open. Please go ahead.
Jeffrey Hammond: Hey. Good morning, guys.
Matthew Trerotola: Good morning, Jeff.
Christopher Hix: Good morning, Jeff.
Jeffrey Hammond: So just ex the sanction deal, just talk to us about how oil and gas orders came together in the quarter relative to expectations? And just a little more color on the funnel and confidence that translates into orders into the second half?
Matthew Trerotola: Yes. Jeff, the oil and gas orders were about in line with our expectations in the quarter, were in line with our expectations in the quarter. We've got a healthy funnel there. Most of our business is downstream. We've got a healthy funnel there. And the question really becomes how fast the funnel converts through. And so we've been looking at a healthy funnel through a few quarters here. We've been talking about it. And I think we had a quarter here where $68 million of new order flow came in which was didn't include any very large project and so with a kind of a higher watermark versus the past and we see the potential for the third and fourth quarter to be in a solid range as well in terms of starting to show some of that recoveries coming through.
Jeffrey Hammond: And then just on the - can you give us a better sense of margin trajectory in Air & Gas into the second half? I know you've been kind of targeting flatter up profits and just with the restructuring savings coming in and then the projects coming off, how does that phase ended 3Q, 4Q?
Matthew Trerotola: We expect to be able to continue to improve the margins of Howden through Q3 and again in Q4 with Q4 getting into that double-digits margin range and given I say back half of the year that we can build on in terms of driving Howden towards mid-teens margin as we've talked about. The things that gives us the improvements in the back half of the year or the low margin projects clearing from our backlog as we've been talking about, but then also a combination of kind of pricing and winning projects add better sold margins, driving productivity and how we execute those projects and then restructuring benefits coming through. And as we've talked about, we've got both restructuring benefits that are helping to secure this year, but then also things that we're doing to create that path forward from this year to an even better margin place.
Jeffrey Hammond: Okay. And then you did the $200 million buyback in this gas control equipment deal, how is that inform the way we should be thinking about platform pipelines?
Matthew Trerotola: Yes, thanks. Our strategy remains the same that we're going to - we're focused on investing and in growing these businesses and we're going to continue to do attractive bolt-ons where they make these platforms stronger and better and we could see how we can create strong value. But we also continue to be very active looking for the right next path platform and we've got a number of different possibilities that we're evaluating and pursuing.
Jeffrey Hammond: Okay. Thanks guys.
Matthew Trerotola: Thanks.
Operator: Thank you. And our next question comes from the line of Nicole DeBlase with Deutsche Bank. Your line is open. Please go ahead.
Nicole DeBlase: Yes. Thanks. Good morning, guys.
Matthew Trerotola: Hi, Nicole.
Christopher Hix: Hi, Nicole.
Nicole DeBlase: So I just - I want to spend a little bit more time on the Air & Gas Handling margins as well. I guess I think reading back from the 1Q transcript, you guys have talked about $25 million of restructuring payback and I guess I'm curious how that phases between 3Q and 4Q? Is it more backend loaded or is there some coming during 3Q as well? And I guess what I'm trying to get to is, should we expect year-on-year margin improvement in both quarters within that segment?
Christopher Hix: So the restructuring benefits that we've got, which has recently been expanding a bit primarily for longer term projects that will benefit 2019 and 2020. But those projects remain on track and on target. I think we previously communicated that we expected those to have minimal benefit in the first half of the year. So we've certainly gotten a little bit of benefit. But then you'll see that ramp up as we go through Q3 and as we get into Q4. So the margin profile for the - I think you'll see the margin profile really kick in more in the fourth quarter when we got the full extended of those or a larger extend of those benefits coming through in addition to some of the healthier funnel conversion and another productivity benefits we've talked about.
Matthew Trerotola: Yes, the only thing I'd add there is that, for the total second half we expect to have margins a little above the second half of last year. So we do expect to show some improvement. Chris is making it clear that that comes more in the fourth quarter than the third quarter, but we do expect the third quarter to be better than this quarter.
Nicole DeBlase: Okay, understand. That makes sense. And then I guess just switching to the FabTech. Can you just provide some color with what you saw with respect to price cost than the first half? Is it been neutral to margins and then what's the expectation for that as we move into the second half that seems to me like your pricing is getting stronger each quarter?
Matthew Trerotola: Yes, we have been able to in the first half of the year kind of continue to catch up and they were allowing front of that that price cost equation. We expect to be - could be able to continue to do that through the year. There's been a continual stream of escalation from steel prices earlier in the year and now with the tariffs and so we have had to continue to move price and so you've got that pass through benefit of that that revenues that that has some impact.
Nicole DeBlase: Got it. Thanks. I'll pass it on.
Operator: Thank you. And our next question comes from the line of Matt Trusz with Gabelli & Company. Your line is open. Please go ahead.
Matthew Trusz: Good morning.
Matthew Trerotola: Good morning, Matt.
Matthew Trusz: Can you provide a little more color on the Fabrication Technology growth trends by region? And also if there's any difference in growth between consumables and equipment?
Matthew Trerotola: Yes, so first of all our growth is broad-based across our regions. North America is definitely one of the stronger areas of growth as well as China is very strong area growth as well, and India is a very strong area of growth. So those were at the upper end, everything is in the positive range at this point time. Some of that more on price in volume in those areas I commented on have the most value growth alongside of the price.
Matthew Trusz: Okay, thanks. And then on the Gas Control acquisition, can you disclose how much you paid for that and what EBITDA you expect, and what they did in the last year?
Christopher Hix: Yes, that's an investment of couple $100 million and the multiple that we paid is within the sort of historic range of recent acquisitions that we've done.
Matthew Trusz: Great, thank you.
Operator: Thank you. And our next question comes from line of Joe Giordano with Cowen. Your line is open. Please go ahead.
Tristan Margot: Hey guys, this is Tristan for Joe. I just want to go back on your oil and gas orders for Air & Gas. Can you maybe parse out what are you seeing in upstream and midstream versus downstream in your funnel?
Matthew Trerotola: Yes, we've got - I'd say we've got projects across the Board in the funnel. But the downstream is the healthiest - area that we have had the most business historically and it's the healthiest area and in particular places like the Middle East where those downstream projects seem like they've got installed quite a bit. That's kind of what we're seeing.
Tristan Margot: Okay, thanks. And then do you feel like you have a significant competitive advantage in your cutting line of products at FabTech versus maybe just your welding line of products?
Matthew Trerotola: We've got a strong position in the cutting line of products. We've got mechanical cutting and also plasma cutting in both of those businesses. We've got a strong position now. We actually have rolled out some great new products in both areas that strengthen our position. Now we've also in the mechanical cutting area got some very good software, we've got cutout product software for nesting of the cutting and then we've added functionality to have offline productivity tools and things that we're rolling out in that business.
Tristan Margot: All right. Thank you, guys.
Operator: Thank you. And our next question comes from the line of Adam Farley with Stifel. Your line is open. Please go ahead.
Adam Farley: Thanks guys for taking my questions. My question is about industrial orders. Could you talk about kind of the size and scope of these orders? Is it broad-based? I guess my question asking where - are you sure to see like a larger capital projects move into the market?
Matthew Trerotola: Yes. So our industrial order flow is broad-based. Steel is a strong area there at this point and that's small and large projects in the steel industry, but also a broader set of industries albeit glass and other industries like that. Also infrastructure projects, tunnels as an example, wastewater projects and other environmental projects and just the broad general manufacturing industrial space, and our industrial fans business are blowers business. That gives a feel. And within that spectrum there is everything from smaller kind of more run rate business to larger projects.
Adam Farley: Great. Thanks for taking my question.
Operator: Thank you. And our next question comes from the line of Ronnie Weiss with Barclays. Your line is open. Please go ahead.
Ronald Weiss: Hey. Good morning, everyone. I just want to touch on the free cash flow, was down significantly in the first half? I saw working capital was inflated. Could you just talk about the factors driving that and how should that play out for the remainder of the year and what we should be thinking about for free cash flow for the year?
Christopher Hix: Sure. Last year's cash flow included some significant recoveries following the 2016 successful ruling we had with some of the insurers on asbestos. So we have that in last year's results if we didn't repeat in this year's results. In addition to that, working capital is a bit of a use for cash this year and that reflects the significant growth of the fabrication technology business. We expected that there would be some fundamental improvement in processes and all that that would benefit the business that certainly happening, but the rate of growth is requiring some working capital investment. I'd say those are the principal reasons. As you look ahead for the full-year, we expect working capital to continue to follow the growth of fabrication technology and be a bit of a use of cash in the year. And that sets us up for free cash flow for the year that will exceed last year, but be somewhere between that in a couple hundred million dollars for the year.
Ronald Weiss: Understood. And then back on restructuring, I noticed the spend stepped up a decent amount in FabTech rather than Air & Gas Handling for the quarter. I just wonder what kind of initiatives you're taking there, and what should we be thinking about as far as the split goes on the restructuring benefits for the year?
Matthew Trerotola: Yes. So first most of our restructuring efforts are in the Howden business, but our FabTech business continues to be focused on strengthening the business and securing that strong path to mid-teens margins, and so they've been rolling through some expected projects related to their supply chains and back office simplification that are part of the plan to take that business to have the mid-teens margin business.
Ronald Weiss: Understood. Thanks guys.
Operator: Thank you. And our next question comes from the line of Andrew Kaplowitz with Citi. Your line is open. Please go ahead.
Andrew Kaplowitz: Hey. Good morning, guys.
Matthew Trerotola: Hey Andrew.
Andrew Kaplowitz: You have a more difficult comparison in Q2 in Air & Gas Handling, but organic sales decelerated sequentially as you know, you do have a more difficult comparison in Q3 still. So maybe just give us some more color on order and revenue growth in the second half of 2018 in that business? I think you mentioned your orders would turn positive in Q3, is that because of oil and gas improvement? Or is it discontinued industrial order acceleration? And Chris, I might have missed it, but could you update us on the 0% to 2% guidance you had for organic growth for that segment?
Matthew Trerotola: Yes. So for sure we get into Q3, we've got a much lower order comp, but we expect to have solid orders sequentially from Q2 to Q3 and from there into Q4. And so in Q3 we'll both get the benefit of the higher order level we are here and then also have the lower comp. And that's part about continued growth in industrial. It's part about expecting this long cycle recovery in not just oil and gas, but also mining to start build some additional momentum here. And then finally this power being stabilized where it is gives us certainly the comp benefit as we compare to last year.
Christopher Hix: And I would just mention that we continue to expect the business to be flat to down 2% organically for the year.
Andrew Kaplowitz: Okay. And then Matt, if you - can you give us more color on China, obviously a lot of noise out there around tariffs and stuff, so maybe exposure to China. What you're doing, any contingency planning, any impact in the guide for tariffs on either business?
Matthew Trerotola: Yes, so there are two questions there. I think one about that sort of China market environment, the other about tariff. Is that correct?
Andrew Kaplowitz: Yes, exactly.
Matthew Trerotola: Yes, so as far as the China market environment, we're seeing a quite healthy on the Air & Gas Handling side. We're seeing healthy industrial growth in particular in China. And on the welding side, we're seeing healthy growth across product lines including some healthy automation opportunities there in China. So we see that demand picture in China as looking pretty good and also looking forward, looking fine. As far as the tariffs as we talked about in our remarks, we have some tariff impacts and we're working hard to get those pass through and it's a manageable amount for us based on our global footprint and having a fair amount incorrect country production sources, but it's something that we'll continue to add price pass through into our business and we have - I would say a little bit of business where we've got products that are produced in China and due to the competitive dynamic. We're going to feel a little bit of pressure for a short period of time, but we're talking sort of $1 million or $2 million max of pressure from the product that we will continue to produce in China and shipped here and we also have some options for how we will work that through and have it not be an issue next year.
Andrew Kaplowitz: Thanks, guys.
Operator: Thank you. And our next question comes from the line of Joe Ritchie with Goldman Sachs. Your line is open. Please go ahead.
Evelyn Chow: Hi, good morning. This is Evelyn Chow for Joe.
Matthew Trerotola: Hello, Evelyn.
Evelyn Chow: I was hoping if you could drill down a bit into the $0.10 guide raise for the year. So it seems like interest expense, FX probably a bit more of a headwind than you anticipated, tax maybe a bit more of a benefit. So is the corresponding - I guess underlying back half raise due primarily to the restructuring actions or is there something else at work?
Christopher Hix: Yes, I'll say first and foremost the core fundamental performance of our businesses is as expected and that as we mentioned in the second quarter enabled us to drive past a little bit of the FX pressure there. So that's the first point I'd make. Second is that, we are seeing a little bit more restructuring benefit as you highlighted in the prepared remarks that will benefit the back half. And then you do have some benefit from the tax in the full-year rate, not so much in the back half of what we've experienced in the first half of this year.
Evelyn Chow: That makes sense. And then to revisit, I guess a number of questions on this call on oil and gas. If we take out of the account the $20 million order or so from the Iran sanction. I think that implies you're kind of close to the $40 million - lower end of the $45 million to $60 million base order, if you've been talking about for oil and gas. So maybe help us understand, what are the conditions you need to see in order for that base level to improve to the higher end of that range?
Matthew Trerotola: Yes, I mean I just want to clarify. Our order intake in the quarter was $68 million of oil and gas orders. Our policy is that we deduct off of that, the canceled order that was from the fourth quarter of last year, and so we report $20 million less than that and so my comments about oil and gas order flow or that our order intake was just about $70 million of inflow without any kind of extraordinarily large projects and we have line of sight to the next few quarters being in that elevated range, which is we think some solid signals that we're starting to see that recovery coming through.
Evelyn Chow: Understand, Matt. And then maybe last one for me just would be helpful to get a sense of the pipeline of opportunities you're currently contemplating on the platform addition? Maybe you could refresh us in terms of transaction size, markets that you're especially interested in?
Matthew Trerotola: Yes, sure. We've done a lot of good work on the platform front, a lot of strategic work and we've got a number of great prioritized areas that we view as attractive. And a fair amount of now cultivation work on potential targets, we're looking at things that you have a range of sizes, some things that would be a fair bit smaller than our existing platforms and some that will be more in a similar kind of say size range and looking at some things that are a little closer to home and some things that would be further from our existing base businesses as well. I think what the consistent theme across all the things that we were looking at is that first they would improve our portfolio. They would make us better. Second we can see how we can create compounding value through operational improvements and through bolt-on acquisitions in those platform areas. And third, we can see how five years from now we'll be throw you on them looking forward in terms of the great opportunities for sustained growth and really trying to things that are completely less clinical in the businesses that we're in.
Evelyn Chow: Got it. Thanks guys.
Operator: Thank you. And our next question comes from the line of Seth Weber with RBC Capital. Your line is open. Please go ahead.
Seth Weber: Hi, good morning. I wanted to ask about FabTech incremental margins I mean given the price cost dynamic you're talking about. I mean would you expect incremental margins to be better next year or does that - are you pushing price basically just to kind of cover costs and so you're not getting the operating leverage off of that price. So I'm just trying to think about how - ask how we should be thinking about the incrementals for this business next year and going forward? Thanks.
Christopher Hix: Yes. The pricing actions that we've been taking have been to cover the inflationary pressures and so we haven't expected those to deliver incremental margin benefit for the company. The incremental margins we get come from the volume leverage that we've had so far this year and I think this most recent quarter about 3.5% or so. We completely talked about 30% to 40% incremental margins sort of 40% before we reinvest in the business and so modeling 30% is typically what we will be guide folks to do there.
Matthew Trerotola: I mean and right quite faster it stops then we should move back to a normal incremental margin range.
Seth Weber: Right. Okay, but so that number seems probably aggressive for next year just given this price cost and given the fluid situation on price cost is that is that a fair way to think about it and that's your pride are going to be up at 430% next year?
Christopher Hix: Well, from a volume perspective we'd expect to capture at least the 30% incremental margins going forward and keep in mind that we are doing these other restructuring and productivity projects that will also add profit for next year.
Seth Weber: Okay. That's helpful. And then if I could maybe just take another crack at the restructuring savings question. I mean it's I think I heard a $30 million number for this year is it - is there any help you can give us with sort of first half, second half as a you know $5 to $10 million in the first half and $20 to $25 in the second is that a fair way to think about it or I completely off base there?
Christopher Hix: That's probably reasonable the project started off mostly early this year and so they're building momentum as we get into the back half. So we'll look for more than - expected a little more than $30 million of savings in the year because of the great preponderance in the back half.
Seth Weber: Okay. That's helpful. Thanks very much guys.
Operator: Thank you. And our next question comes from the line of Walter Liptak with Seaport Global. Your line is open. Please go ahead.
Walter Liptak: Hi, thanks. Good morning, guys. I wondered to ask a little bit more about the FabTech geographic and specifically you kind of one for China in the U.S. but specifically how was Europe looking and how does Europe factor into that core growth guidance for the back half of 5 to 8?
Matthew Trerotola: Yes. Europe in a solid positive range, so just wasn't in that top tier that I mentioned and we believe that we're competing very well in Europe it's been a historical strong place for us and we believe that we continue to do very well there and it's a solid positive range and expected to stay in that solid positive range.
Walter Liptak: Okay. It sounds great. And kind of the same way on pricing you're getting that price for offsetting inflation. Is Europe any more competitive or is that pretty similar across the board when you're going after recovery that inflationary pricing.
Matthew Trerotola: We are getting price in Europe and passing through the inflationary pressure in Europe like other places in the world.
Walter Liptak: Okay. Great and then one to ask about the foreign currency impact in the second half and your assumptions and how we should think about any negative impact from current foreign currency on sales in on EPS in the back half.
Christopher Hix: Yes, the assumptions that we have for currency going forward is that rates essentially jump off from sort of June early July rates structure. And then of course every 1% movement in the basket of currencies that we have his about increase generally about who sent movement in the adjusted earnings per share for the company. So we've got a guidance range that incorporate different scenarios with the currency there but we're not really at this point expecting very much year-over-year impact. We haven't currencies have moved a bit is a year's progress it's going to diminish impact on the company.
Walter Liptak: Okay. Great. All right. Thank you.
Operator: Thank you. And I'm showing no further questions and I would like to turn the conference back over to Mr. Johnson for any further remarks.
Kevin Johnson: Thank you. Again for joining us today we look forward to updating you on our next call.